Unidentified Company Representative: The conference is now being recorded.
Operator: Good evening, ladies and gentlemen. Thank you for joining this telephone conference of ORIX Corporation for First Quarter Consolidated Financial Results for Three Months Period Ended June 30, 2018. The attendees at today’s conference are Executive Officer and Head of Treasury and Accounting Headquarters, Mr. Yano. Mr. Yano will give you a presentation on the third quarter financial results for about 20 minutes, and we will move it to a Q&A session. The whole conference will take about an hour. At the time, I do like to turn the call over to Mr. Yano. Please go ahead. So Mr. Yano, please.
Hitomaro Yano: [Interpreted] So I’m Yano. Good afternoon, and I’m the Head of Treasury and Accounting Headquarters. Thank you for your participation despite the busy schedule today. Without further ado, let us get started with our presentation on the first quarter consolidated financial results for fiscal year 2019. Please turn to Page 2 of the following slide that has the title of Overview 1. Now we have the ROE, as well as the net profit on this page. The net profit for the first quarter of fiscal period 2019 was ¥79.9 billion. This is a decline by 11% from the same quarter of the prior year, but annualized ROE was 11.9% and we have come up with a midterm target for ROE recently. And we, I think, has stated, that the growth was, say, 4% to 8% and to maintain the midterm target of 11% for ROE. And our profit is almost in line with this initial expectation, which means that we have made a progress to about 25% for the full-year. So this 11.9%, in fact, is still about this midterm target of 11% of ROE, which is almost in line with our initial plan and we perceive this results to be a solid result. Now over to the next page. And this shows the trends by segment. The total segment profit was ¥113.4 billion. So one I will explain about the performance by segment later on, I’d like to draw your attention to the table on the right-hand side, where you can see that the decline relatively was larger at Real Estate segment and Investment and operation segment. As to the Real Estate segment, we posted the gain of ¥20 billion-plus as a result of this posing office buildings in Yokohama and a multiple numbers of logistic facilities in the same quarter of last year. Although Investment and Operations segment was firm overall, the amount of our capital gain from the sales of shares declined only year-on-year. DAIKYO’s condo sales plan tend to skew towards the second-half of the year, and for the reason, we posted loss in the first quarter. But our focus for the full-year is – should be in the line with our initial expectation. Please turn to the next page. Now this page shows you the trend of the segment assets and ROA. Segment assets was ¥9.1172 trillion in total, which is almost flat, as compared to the end of fiscal period of 2018. Segment asset ROA was higher than the year-end of fiscal period of 2018. Asset increased in Retail segment, Investment and Operation and Maintenance and – Maintenance Leasing segment. The increase in Retail segment asset is due to an increase in investment securities, the asset managed by ORIX Life Insurance, as well as the increase in installment loans extended by ORIX Bank. In the Investment and Operation segment, asset increased due to an increase in inventory and DAIKYO, as well as asset in Environment Energy related Increase in assets were Maintenance Leasing came from increase in auto leases. So let me turn to the next page to go on to explain about the result by segment.
Unidentified Company Representative: So first of all, I will talk about the Corporate Finance segment. The Corporate Finance segment profit declined ¥7.8 billion compared to the previous year, which is 24% decline in the profit, because in the previous year, the equity and the security has been sold and that ¥20.5 billion was accounted in the previous year and also because of the decline of the lease and loans and bonds decline, therefore, financial revenue have declined. On the other hand, service revenue has increased by ¥900 billion. And the segment asset, the finance lease asset and the installment loans declined ¥976.1 billion, a 2% decline compared to the previous term. And the Maintenance Lease segment profit became ¥9.7 billion, that is 2% decline in profit compared to the same term in previous year. In operating lease revenue, does include the used car sales profit declined. However, in the automotive lease – automobile lease, a new exclusion has increased by 9%. So that we are accumulating the asset despite a very stiff competition. As a result, segment asset became ¥855.3 billion, compared to the 1% increase compared to the previous term. And then please look at the next page. This is the Real Estate segment. Segment profit is ¥22.2 billion. The- in the previous year, Yokohama office building and the several operational facilities have been sold. But in this term, the Osaka hotel has been sold, which is the operational facility. And in this, revenues coming from this sales is accounted in a service revenue on accounting term. In the segment asset, it became ¥598.1 billion, which is 4% decline from the previous term. But the – on the other hand, there’s also a new opening of the operational facilities being developed as well. On July 12, ORIX Real Estate included consortium is being selected as the development – developer for the next two term region in Osaka city. And in the previous experience of the development in the grand center Osaka, we have the track record of doing that, we can work on the other cities.
Unidentified Company Representative: [Interpreted] So the segment profit for Investment and Operation was ¥11.9 billion. The reason for the decline by 29% year-on-year is due to a reduction in capital gain from listed shares, as well as the sales of condo at DAIKYO remain to be limited during the quarter. As for the progress in the Environment and Energy, secured projects for domestic photovoltaic solar power generation reached to about 1,000 megawatts in total, with 710 megawatts already in operation. The profit that generated from Environment and Energy in the prior year included a transient factor, which caused a slight decline in the profit this quarter. However, we expect a steady growth to continue going forward. And as to the concession, it is enjoying growth year-on-year. Segment asset increased by 2% year-on-year to ¥876.8 billion, majority of the increase came from DAIKYO and Environment and Energy-related, no new investment in PE or any new disposition. And if I may perhaps give a further explanation to do with this segment and which does not appear on this page, as a matter of fact. So, in fact, the operating revenue, as well as profit, in fact, seems to have declined according to the figures that you’re seeing, but this is due to a private equities sales decline at a certain entity. But there has been a decline in expenses that corresponds with this decline in the sales. So the impact that is given to the profit is going to be minimal. So I just wanted to add this to the explanation. Please move on to the next segment, which appears on Page 9, and this is the Retail segment. Profit of Retail segment was at ¥21.8 billion, segment profit was down by ¥200 million due to an overshooting earnings of former Hartford Life in the prior year. But the earnings of ORIX Life, excluding former Hartford banking and credit continue to grow. ORIX – at ORIX Life Insurance, premium grew due to an increase in the number of policies, while financial revenue of ORIX Bank increased. Segment assets grew by 2% to ¥3.2366 trillion, mostly due to an increase in investment securities at ORIX Life and an increase in installment loans at ORIX Bank. So let us move on to the next page. Now this page shows an overview of Overseas segment then – segment, the profit was down by 7% to ¥40 billion. So a sluggishness in the investment by equity method in Asian regions were the major reason for the decline, while business in Americas, as well as aircrafts are trending well. As for the capital gain, we posted gains from partial sales of Houlihan Lokey. However, the amount is smaller as compared to the prior year, due to an absence of exits, we had, including energy-related businesses in Korea, STX Energy in the last year. This positioned us investment securities in Americas proceeded, while ship loans declined, resulting in the segment asset declining by 1% year-on-year to ¥2.5742 trillion. By the way, on July 2, 2018, we issued a release announcing an acquisition of loan, asset manager, NXE Capital in the United States. We will continue to take this down towards investing in the prospective growth area. So this concludes the explanation and performance by segment.
Unidentified Company Representative: Next I would like to talk about the pre-tax profit and also the increase or decrease factors for segment assets. I would like to explain on each of the element. On page, if you look at the left chart, the pre-tax profit, as of March 2019, the first quarter pre-tax profit declined by ¥24.7 billion compared to the previous year. The gains on the investment and gains from the sale of the Investment, as well as from the sales of Real Estate, while in the previous year, which will sound pretty simple ¥8 billion. This year, this term is ¥41.6 billion, so ¥16.2 billion decline. Even though Life Insurance concession is in a good term, but Oversea segment equity method apply the companies are not in a good shape and the profit declined by ¥4.5 billion. On the right-hand side chart segment asset, segment assets have increased by ¥18.2 billion compared to previous term and former Hartford Life Insurance assets have declined by the existing business, ¥70 billion increase compared to the previous term. And Life Insurance Banking, Environment and Energy, DAIKYO, automobile business, we have seen the increase of the assets. Please look at the next page. This is the portfolio three classifications and ROA – actuals of ROA in this graph. The former Hartford Life, P&L fully hand equity sales profits, those factors are excluded in this actual numbers. In Finance, in the growth section of Finance, it has mainly decreased profits in overseas, because in Asian companies where the equity method investment has been applied, so therefore, that is the main reason. And then business, it is flat compared to the previous year compared to the previous year or previous term. And the Financial Service, Life Insurance business and the Environment and Infrastructure concession business has been going very well. Investment is the decline in its profits compared to the previous year same term. And the incline investment in aircraft business is going well. But in the previous term, the Yokohama office building gains from the sales of building have – impacted on the decline of the profit and also equity investment is also decline, and for DAIKYO sales schedule has been – decreased its profit as well. So in summary, the 2019 March first quarter, net income is ¥ 79.9 billion, a 11% decline in profit compared to previous year, ROE is annualized 11.9%. Due to the sustainable growth, we will look at the market trend and we will continue our new investment. And the midterm directions, the growth rate is 4% to 8%, ROE is 11%. And to again, the credit rating of A, we have – we’ve been continuing to make efforts to achieve those numbers. That concludes my explanation. Thank you very much for listening.
Unidentified Company Representative: Thank you, Mr Yano. We are now ready for Q&A session. [Operator Instructions]
Masao Muraki: [Interpreted] This is a question from Mr. Muraki of Deutsche Securities. This is Muraki from Deutsche Securities. I hope you can hear me.
Hitomaro Yano: [Interpreted] Yes, we do hear you well.
Masao Muraki: [Interpreted] Thank you for this opportunity. I have two questions. First of all, on Page 7 to the left-hand side, you have shown in the Real Estate segment, the service income you have mentioned about this sales. And also, this investment project in Osaka, I think, that was mentioned by – in your explanation. And with related to IR integrated resort, what is your direction towards making an investment in the Real Estate space in Osaka? I’m sorry about this. Unfortunately, the telecommunication line seems to be a little broken. Can you hear us?
Hitomaro Yano: [Interpreted] We can hear you well. From our exit, we can hear you well.
Masao Muraki: [Interpreted] But – so you have the first question. I think the second question was regard to Makita and investment or development project and also there’s a possibility of engagement and IR? Yes, that’s the second question. So in the Osaka-related areas, the exposure that you intend to have. So inclusive of the possibility of integrated resort. So would you be managing your asset? Why do you proceed with the disposition of some of your asset on the other hand, is a question
Hitomaro Yano: [Interpreted] And the first – the question is with regard to the Overseas businesses. So those, you said that there’s a sluggishness experienced by the equity method health companies in the Asian region, which you would be so kind enough to elaborate on the explanation that you have given to us. That’s the first question. So our view dependent on the types of businesses and also we approach from the risk profile perspective as well. So in other words, we try to view the business in the matrix of the two. So in talking about the Osaka, we’re not specifically focusing on Osaka as an area, because the Real Estate business, as you know, we are, in fact, the downsizing our assets. Osaka Makita in fact, this far out in future, so we are going to be continuing on in terms of our involvement in the project. As to IR, the bill has just been passed at the diet. So we have to, of course, continue to study the feasibility of our involvement in the project and we may perhaps consider or take it on to our own – on to the table of our consideration. And we are quite open and perhaps slightly positive in terms of making an entrance into an unknown area –the new business area. And while talking about Osaka in more specific terms, Osaka, in fact, is a place of origin for ORIX in any case. So it’s not that we have made up our mind as to increasing or decreasing our exposure. But we do have some affinity to the Osaka geography. So we would like to continue to have some kind of relation to the Osaka Real Estate. Now the second question is Overseas. In India, [indiscernible] in fact, is a name of the company that we own, and 23% is the ownership of ours by equity method that is. And we are making an infrastructure investment through this company and we want to enlarge our asset here and this – and we cannot recognize, of course, the sales or the profit as of now, and we are paying out the interest as of now. And this is why unfortunately, there was a decline in the profit generation from outside of Japan.
Masao Muraki: [Interpreted] Universal port disposition, how much of it is accounted for this service income?
Hitomaro Yano: [Interpreted] And it is about ¥10 billion in total it should be, to be precise, ¥12.8 billion in total.
Masao Muraki: [Interpreted] Thank you so much for that.
Unidentified Company Representative: [Interpreted] Thank you very much. Then from Mr. Watanabe from Daiwa Securities, please.
Kazuki Watanabe: [Interpreted] My name is Watanabe from Daiwa Securities. I have two questions. First question, in each quarter there, how you see the profit in the first quarter, tend to have more concentration in the first quarter in terms of profits. But this is – this time, however, it is about the one quarter of the total year in terms of capital gains or maybe they are changed in the policy of trying to get the gains or the profits? The second question in the Page 13, for the new investments for the – looking at the market trend, you are mentioning. But under what condition, you’re going to do more new investment, or what is the idea on that?
Unidentified Company Representative: [Interpreted] In terms of profits, there’s the – we did not change our policies in terms of generating a profit, but there’s a gain from the sales because of the counterparty exist. So in each quarter, we can – it’s not something that we can always achieve the sales in the first quarter. It just so happened that those sales and two years ago, last year, as well two years ago, we had the concentration of the sales, a gain has been countered in the first quarter. On the other hand, in terms of – we do not depend on just the sales gain from the sales, but the other sustainable growth profit that we are thinking off. So – but for the time being, I think, we’ll continue to have the gains or the profits from the sales. But in the Real Estate, I think with the term we’re going to sell some of the asset as well. So there’s nothing it can’t change, it just so happened. There’s some fluctuation depending on the quarter. And for your next question on the Investment. As we have mentioned this before by Mr. Kojima, in terms of investment, we want to pursue the active investment. In looking at the market trends, but in the current market, it’s so good today. So instead of getting investing in or buying in high – higher prices, but rather it just because the market is good. We’re not thinking of buying at a higher price, but we look at the more value of the price. And if there something happens, then we need to find some of the opportunities. So that’s what we meant by the – looking at the market trend. In that sense, the way if the market gets worse, then it’s easier for us to approach it so to buy, but we’ll continue to do our investment there. Actually, in the previous term, in the financial closing – full-year closing Mr. Inoue has already mentioned, in actual pipeline, we do have various things in the pipeline. And today, there are many inquiries and discussions. And depending of situation, we – I think that we will be – we have to announce it or it’s something that may not be actualized, but we’ll continue to do so.
Kazuki Watanabe: [Interpreted] Thank you very much for the answer.
Shinichiro Nakamura: [Interpreted] This is Shinichiro Nakamura from SMBC Nikko Securities. So I have two questions to ask. The first question, so the decline in the profit from the existing businesses and you have explained about this equity method holding in India as one of the reasons. But this – the impression that I have got is that, you seem to have experienced some weaknesses in almost all areas, almost across the Board – high board. And if you could be so kind enough to share with us your expectation down the road? And there may be some redundancy in terms of the second question, any – excluding the Forex impact, it is not just the PE investment. So the growth of the assets overseas may not had been as great as it could have been in the past. And also at the same time there seems to be a decline in a capital gain. So although you said there are some deals in the pipeline. But by different asset class, what kind of color can you give to us?
Unidentified Company Representative: [Interpreted] Thank you so much for your question. So first of all, as to the existing business, it is true that our existing business had experienced a decline in profit. However, this negative result and also IOS and the Overseas business, in fact, was almost – was a decline as well. So it is almost flat as we conclude for the first quarter. But if you go into much of the nitty-gritties of the results, it is – it would become a little complex like a former Hartford was negative, because we had enjoyed that quite a large cap again in the prior year. But it’s not that as a kind of a gut feeling that we have. We do not regard this quarter to be a deceleration of domestic financial business. In fact, they’re still facing difficulties for sure. So, of course, we are converting these businesses into a fee-generation business very much. So we already know our takeaway is that, we are not pessimistic over the result of the first quarter. So that’s the answer to your first question. And as to the second question of yours, so the decline in the total amount of asset has been written here, CLO issuance, I know, it sounds a little kind of a weird, but in the United States. So it is not just a matter of issuing CLO in order to carry out the financing, but the asset by different rate – credit rating, we had that thought from the top layer down to the equity level. So therefore, from the asset business, we’re trying to transform ourselves to a fee-generation business or asset management business. And this is not just limited to the former Hartford Life Insurance. For the existing businesses, I think, we are trying to increase the basis for profit generation in the future. But as to the pipeline, I’m sorry that I won’t be able to go into individual possible deals, because I would be infringing insider information, of course, rules and regulations. So – but I tend to once again share with you that we do have an abundant deal in the pipeline by segment, investment and operation. Private equity investment we will be continued and the Energy, Environment, concession, there’s still – the trend is remaining to be intact. We want to continue on to increase our investment in those areas. And in all regards, we do have this – multiple numbers of deals sitting in our pipeline, for sure.
Shinichiro Nakamura: [Interpreted] Thank you so much for that.
Unidentified Company Representative: [Interpreted] Thank you. Next from Merrill Lynch. Mr. Sasaki from Merrill Lynch Japan.
Futoshi Sasaki: [Interpreted] Hello. My name is Sasaki. Can you hear me? I’m from Merrill Lynch Japan.
Unidentified Company Representative: [Interpreted] Yes, I can hear you.
Futoshi Sasaki: [Interpreted] I have two questions. One, in Asian division, equity method being applied, then, therefore, Indian renewable energy company investment that you have just explained before, in the presentation, it says, it is not a good condition, but it’s because the – some of the recurring profit has been misaligned, that is why is that all not doing the business well? How should I understand the business?
Unidentified Company Representative: [Interpreted] Well, should I answer your first question.
Futoshi Sasaki: [Interpreted] So, yes, please.
Unidentified Company Representative: [Interpreted] Well, it is not misalignment, but this company, the infrastructure investment like road and so on in that sense, it is – have to be done in a very long cycle long-term. So it’s not unfortunately, the – like the misalignment of the term or duration? No. So we have made some of the prior investment, but we have not gained sufficient return from that yet. But in – the performance is not very – doing very well. It’s not doing very well. And for us in 23% investor, but in total, we don’t have the 100%. So therefore, as and – so it is our investment. Is this – so it is not the wind power, but it is the other asset class like you’ve started the investment like in the road that has impacted on your financial closing. In terms of wind power, there’s no impact on there, I see. And then in terms of the return to the shareholders in just like the previous sketch in the – after finance – announcing the second quarter finance, then full-year dividend outlook will be explained.
Futoshi Sasaki: [Interpreted] That is the same as you – as you’ve been doing both for the own stock to be explained in the new and midterm plan that we have explained about own stock purchase buyback and 8% then 11% ROE in looking at these numbers. I think, you’ll decide on how we do that. But in the 4% to 8%, unless it reaches the 4% to 8% higher numbers with the growth rate, then in the looking at the situation in June and the July, how are you thinking of the – your purchase buyback or you’re buying your own share if you could explain that your thinking in this, would be appreciated?
Unidentified Company Representative: [Interpreted] In terms of the timeline of schedule, there’s nothing that I can promise you today. But maybe in our annual – if you look at our annual flow in the second quarter usually, we will make some communication to you what we would be doing about it. And so therefore, so it is not going to make a promise, but usually, in after – at the point of the completing the second quarter, then we can see some of what will be happening in the second-half of the year and I may be able to talk about that obviously. We think that is the situation that we’ll be talking about. So we’re thinking of being able to address that in that way. In terms of buying our own equity or stock, today, as I mentioned earlier, this time it is the – profits have declined. However, in terms of the midterm plan goal, we are going very well to be on track and we’re looking at the situation on the second quarter. And in looking at that numbers, then we’ll make a judgment on that. And let me repeat that last year in the first quarter, profits is the ¥300 billion annual goal, that was about 30% by the first quarter achievement. But in total, we had ¥310 billion in actual last year. But this is a 4% to 8% growth rate has been targeted and in – to achieve that. And that in the profits, and that was what happened those numbers in the second quarter is important for us. Of course, we would be willing to provide some returns to the shareholders, but in promising that the 4% to 8% growth rate, as well as the more than 11% ROE by – we would like to proceed being able to achieve those numbers.
Futoshi Sasaki: [Interpreted] Thank you.
Unidentified Company Representative: [Interpreted] Thank you.
Futoshi Sasaki: [Interpreted] Yes, thank you. Thank you for the response.
Koki Sato: [Interpreted] So can you hear me? This is Sato from Mizuho Securities.
Unidentified Company Representative: [Interpreted] Thank you for your question.
Koki Sato: [Interpreted] So I have two questions. First of all, I’m sorry to repeat the same question, again. But in the existing areas of businesses, on Page 11, you have indicated ¥4.5 billion of negative. And the largest region is attributable to the business in India, but also at the same time, the major are the major factors. I know that there are certain areas that had managed to increase their profit. So like ¥1 billion, ¥2 billion here and there, if you could be so kind enough to tell us the magnitude by different area of positive or negative? And also SG&A in the fourth quarter, I know that there has been some kind of loading somewhat the first – since the first quarter has started. So the marketing cost, how much has been generated, and what is your policy? And the second question is going to be pretty short. So I’m going to be asking you the question later on.
Unidentified Company Representative: [Interpreted] Now as to the existing businesses, I’m sorry that we have given you much concerns over our existing lines of businesses. But, in fact, so if it was not for this IRS, it is almost – in almost all regards, I would say, that it is almost flat. So there is no kind of major discrepancies that I can elaborate on. And in the areas of like Corporate Financial Services, the fee income they have increased slightly and the retail – and so all these segments. There had not been any major changes as such, so slight positive, slight negative. So there is no specific areas of business that is to be especially noted. But if I may just talk about the negative, DAIKYO, in the first quarter,m unfortunately, had generated some losses and – but it and also former Hartford – sorry, Life Insurance. So we are hitting in the marketplace. And in terms of the the reserve for the solvency. There was quite a large amount of profit that we managed to generate in the formal year – the prior year. So the decline in the sales, of course, that had, of course, resulted in the downsizing of the profit, but it’s all kind of bits and pieces that piles up to almost the plus and – plus or minus zero. So in other words flat all in all. So I hope this answers your question, which means that ORIX Life Insurance – SG&A. With regard to ORIX Life, we have a very long tail end policy, and we did manage to increase the number of policies, for sure. And ORIX, we have advertisement expenses and we have some expectation as to winning a certain numbers of policies, which, in fact, was two, we did bear some fruit. But, of course, these are long-spanned insurance our policies. So therefore, it may take sometime before we can get the return. So this is what has been reflected through the results.
Koki Sato: [Interpreted] So, excuse me, in the last year, in the fourth quarter, I used – I think you have explained that you have front loaded some of the expenses and the promotional cost had declined in the first quarter?
Unidentified Company Representative: [Interpreted] No, not as a result of this front loading. ORIX Life, in fact, they are continuing to remain to be aggressive in acquiring new policies. And so ORIX Life Insurance advertisement, we would have to be posted in a one-off manner and we – which we will slightly hesitant of. But at the end of the prior year, we thought that it was a great timing and this was why we have spent more than we used to. And, of course, we would have to, of course, collect this back over the years.
Koki Sato: [Interpreted] And the second is a very simple question. So 25% has been the progress that was achieved in the first quarter you have been explaining. And you have not come up with the guidance quite naturally. So – but the net profit on a annual basis, so on a year-on-year basis, we’ll be – so you’ll be happy if you can achieve 4% of growth. Is your expectation as of now, may I take it, although you have not come up with an annual guidance as of now?
Unidentified Company Representative: [Interpreted] Oh, well, I mean, I think, we feel the need to achieve this 4% of a growth. But it doesn’t mean to say that we are limiting our growth to 4%. And I don’t think we will be achieving 4% growth that on that is not going to be the case either, because we do not think that there’s a limitation as to our company achieving only 4% of growth. Although we can – I cannot say anything more than what I have just shared with you, but we would like to continue to grow our business, for sure.
Koki Sato: [Interpreted] Thank you very much for that.
Unidentified Company Representative: [Interpreted] Thank you.
Unidentified Company Representative: Thank you. Next from Citigroup Securities, Mr. Niwa.
Koichi Niwa: [Interpreted] Thank you. I have two questions. First question, in your presentation materials. In the aircraft and the shipped asset compared to the end of March in the existing groups like those assets have declined in terms of what is the pros and cons of what is the increase and decrease of the – what you have acquired with your Board?
Unidentified Company Representative: [Interpreted] Yes, let me explain. Actually, it has been declined a little bit, but mainly because we have just, from the outside, we have both the the ship, the ship loan that we have been able to repay in advance, which we have bought.
Koichi Niwa: [Interpreted] How about this year?
Unidentified Company Representative: [Interpreted] And that is a fee income portion for the aircraft, airplane, we want to do that more. But because of the domestic investors who’ve been able to sell the – so it is going – selling very well of those aircraft, so you don’t have enough to purchase or buy at this moment. And but the main reason is because of the you can say that it’s because due to the ship assets. The second question that is maybe overlapping question in the performance and you’re thinking in the shareholders. Let me describe the concept and if that – to confirm that it’s correct. As Sato has mentioned in the – about the 320 billion yen profit this year in the growth rate is 3% above 3% growth. But still in a mid-term plan outlookthat is the first-half is this unique factors it is seen to be less. And also EPS is about 25 billion yen and from thinking of this then if you’re thinking of the dividend increase. That is my question and also in the EPS in the ROE if you have the basis for this then you may exceed the target. So as you mentioned the – your own company equity buyback you are currently not thinking of, or you’re thinking of doing that. And I’m sorry there is a very detailed questions, but I want to know your answer?
Unidentified Company Representative: [Interpreted] I at the last part I may or may not be able to say much, but in this plan in this year. Obviously it is if you just multiply by four then that means we may not be able to reach 4% growth. But for us in the mid-term plan 4% to 8% growth rate in the mid-term plan. We now – don’t say that it’s for every year, but if possible we’d like to do that achieve the growth rate. So therefore even if it doesn’t mean that we’re going to have the lower growth rate this year. And in terms of dividend and buying our own stock then and with our return to the shareholders. We often receive that type of questions and we are considering that. At this moment just like before in the financial closing as I explained before is 27% dividend 27% dividend ROE is the – if it goes below 11% then we also do our own company’s equity share buyback. But basically I was constantly thinking if did that change and looking at the profits. Then in the second quarter that we had sort of the baseline and with that to determine how we would actually achieve that. In that sense in the current situation. There is no change from the previous occasion we talked and that is what they were thinking. Thank you.
Koichi Niwa: [Interpreted] And thank you very much and this is very well. Thank you very much.
Operator: [Operator Instructions]
Hitomaro Yano: So, I’d like to thank all the participants for your participation into this teleconference. And this was a result of our first quarter. And thank you very much for your questions and also your feedback as well. We would like to continue on with our communication. Thank you all very much indeed.
Operator: Thank you. That concludes today’s conference. Thank you for your participation. And you may now disconnect.